Andrew Cole: Good morning, and welcome to everybody joining us on our webcast call today, and good evening to those people joining us from North America. Today, I'm joined by Luke Anderson, our Chief Financial Officer. I'm also joined by Bob Fulker, our Chief Operating Officer. Today, we're going to cover, in principle, 2 areas. The first one is our half year financial results for the company; and secondly, the announcement that we made this morning on Carrapateena. So look, we do have a lot to get through to today. I guess, what I'd like to do first is acknowledge and probably say sorry to the many analysts out there who are -- who have got an awful lot of information to go through at such a busy time in the year. Unfortunately, our releases are dictated by when decisions are made and when work is completed, so sorry about that. I understand you've got a lot to get through, and it's very busy for you. But from our perspective, it is a very exciting time, and there are some big decisions that are being made for us going forward here. So let me start with the first few key messages that I want to talk about today. From my perspective, I think the first half's performance has been very strong. What that allowed the board to decide last night is that we would declare an interim dividend of $0.06, which, I think, is a good outcome. It's consistent with previous performance, and it's consistent with the commitment that we've made to the market over the last couple of years. We are on track, as I confirmed in the last quarter, to meet our guidance metrics for the full year. So again, that is consistence with being a reliable and predictable performer in the sector. The board also, as announced this morning, has approved the Carrapateena development, so a project that now has an NPV of about $900 million and the internal rate of return at 20%. And the board obviously now has the confidence and comfort that we can develop this project, managing the threats and also taking advantage of the opportunities. So there are a few disclaimer and forward-looking compliance statement slides in this deck, and I'd ask you to review these please. We are making a number of forward-looking statements today, so they are important to understand. So let me turn just quickly here to go through the first year -- first half highlights. So I'm going to give you a very quick snapshot. Then, I'm going to ask Luke to take you through the financial summary. So in essence, I think the first half has been a good outcome for us. I think the team at Prominent Hill, in particular, has done a fantastic job at being a reliable deliverer of copper metal, which, of course, delivers the results that we need. They remain a very low-cost producer with their all-in sustaining costs at $1.25, which still keeps them in the bottom cost -- bottom part of the cost curve, something that we consider to be very important for us. Also, I'd like to let you know that, this week, they broke through on the second access decline for the underground. So this is something that we talked about over the last year or so and what this does enable them to do is to increase the tonnes coming out from the underground resource. So well done for the team at Prominent Hill. This left OZ Minerals with $625 million of cash in the bank at the end of the half and of course, with no debt. This allowed the board, as I said, to declare an interim dividend of $0.06 given this strength. Our pipeline of opportunities has also continued to develop with the most mature of these West Musgrave Project, so a project that we are in partnership with Cassini Resources on, progressing to plan, and we remain on track for a decision at the last quarter of this year to decide whether we will progress to a pre-feasibility study on the Nebo-Babel development. Our board -- and finally, our board's confidence in the economics and the constructability and the operability of the Carrapateena project has seen development approval granted as of last evening. So I'll talk more about that, of course, in a moment. So what I'd like to do now is just ask Luke to take us through the half year financial results please.
Luke Anderson: Thanks, Andrew, and hello, everyone. We're going to keep the presentation of the half year results fairly brief today, so we can concentrate more on the Carrapateena update. Further detail, obviously, is available on the half year financial report, which is available on the website. So the first half 2017 has been a strong half with profitability improved compared to the first half 2016, and we remain on track on all annual guidance metrics. Some of the key financial highlights include net revenue increased by 12% to $446 million. Underlying EBITDA increased by 22% to $217 million, and underlying net profit after tax increased by 47% to $81 million. The first of the waterfall charts shows the improvement in the underlying EBITDA between the first half 2016 and the first half 2017. I would point out this is a comparison chart, which shows the movement, not the absolute dollars. So just to highlight a few of the major variances contained in the waterfall. On the market side, the average Australian dollar copper price improved by around 21% with a high U.S. dollar copper price, partially offset by stronger Australian dollar. The strong Australian dollar also created an FX loss on U.S.-denominated receivables and deposits. Both the deferred waste and inventory adjustments decreased with lower open pit strip ratio and less open pit activity. Operating costs were also lower due to less open pit mining in accordance with the scheduled mining reduction and the equipment demobilization. Corporate and exploration expenditure were high with the expensing of the Carrapateena project in the comparative period, and tax expense was high based on higher profitability. Our cash balance at the 30th of June 2017 remain strong at $625 million. The decrease of $31 million since 1 January this year reflects the ongoing commitment to our growth investments, which amounted to $96 million. The second waterfall chart shows the major elements of the cash flow during the first half. Some of these are the Prominent Hill operations generated $214 million and spent $25 million in capital expenditure for underground development, sustaining capital and open pit deferred mining. It also invested $39 million in ore stockpiles as the open pit stripping ratio declined. The strong Prom Hill cash flow generation allowed us to continue to focus on growth through expenditure of Carrapateena and CTP of $46 million and a further $11 million on our exploration and growth projects. A tax payment of $69 million was made relating to the December 2016 income tax year, and this was partially offset by some interest earned and $42 million returned to shareholders through the payment of the final dividend for 2016. Given the strong financial performance, the board has decided to declare a fully franked interim dividend of $0.06 per share, totaling approximately $18 million with a payment date of 21 September. This is a strong endorsement by the board of their confidence in the cash generation of the company, at the same time, proceeding with the Carrapateena project. So in summary, the first half 2017 produced another strong financial performance. With a balance sheet that includes a cash balance of $625 million and no debt, the company remains well placed to continue to invest in Carrapateena and West Musgrave Projects, returning value to shareholders and advancing our growth pipeline. Turn back to Andrew.
Andrew Cole: Thanks very much, Luke. So we've got a lot materially on Carrapateena, and I'm going to move through this relatively quickly. I'd just like to recognize that there is a lot of information now in the market about Carrapateena. So today, we did release an updated resource and reserve statement. We also released a fairly extensive executive summary of the project study to date, along with a summary ASX release and a webcast presentation. So there is a lot of material in the marketplace. So I'm going to skim across the surface here fairly quickly, and we can, of course, field questions at the end of this call and of course, after this call as needed. So the slide I'd like to talk about now just shows how our company is focused. So today, I'm only going to touch on Carrapateena. It sits alongside, of course, our operating asset in Prominent Hill and the newest and most advanced development project in West Musgrave along with the growth pipeline that we've been developing over the past couple of years. I think this Carrapateena project fits our portfolio very well. South Australia, of course, is a very low-risk, sovereign risk jurisdiction. The community and the social aspects of the state are very supportive of this sector, and we know that it's home to nearly 70% of Australia's known copper resource, so we're absolutely in the right pedigree of districts when we're talking about Carrapateena. We also know that Carrapateena sits alongside other mineralization, which I'd like to touch on a little bit further on. So the next slide that we've put together here is to try and demonstrate how Carrapateena fits our strategy. And it's almost a project on a page if you like. It's a good example of how all of the elements that we're developing in Carrapateena fit the various elements of the strategy that we've put in place a couple of years ago now. We are moving very quickly. I think we have demonstrated that we can move quickly and that the project schedule that we have in place, we expect to see cash flow being generated from Carrapateena in quarter 4 2019. One of the privileged positions that we're in with the cash that we do have in our balance sheet, we can now reconfirm that we can build Carrapateena with the cash balance and the cash flows that we have forecast from Prominent Hill. We don't need debt to construct Carrapateena, and we can continue to pay dividends if the board chooses to through this entire period. Carrapateena's NPV has increased by 18% to just over $900 million. That's come about as a result of increased metal production through some optimization of the resource and the mining design and mine schedule. It's also come about through some marginally higher consensus commodity prices. And as you know, we use consensus as our base case through -- for project economics like this, and it's also come about through the removal of the Concentrate Treatment Plant charges that we did assume were part of the project in the PFS. And I'll touch on that again in a while. So our confidence in this project has certainly escalated and significantly improved since the last time we spoke on this project. Importantly, we've also now managed to keep all of the underground infrastructure out of the mineralized breccia, and we've moved it all into the host granite, which means we now have complete optionality going forward about how we extend into the remaining mineralized body at Carrapateena into the defined resource we've got or change the annual throughput rates. We've also let space in real estate on our surface infrastructure to give us the optionality to extend surface facilities like processing plants to allow us to increase annual throughput rates if we so choose in the future. So this agile approach that we've taken to the design of this project, I think, will give us tremendous opportunity into the future. Let me touch on production summary, and then I'll move to the financial summary just quickly. So the key physicals for this project that we are now proceeding includes us developing a sublevel cave mine. Base case has a 20-year mine life and operating at about 4.25 million tonnes per annum. The average annual production will be about 65,000 tonnes of copper and 67,000 ounces of gold and some silver. The project will have bottom-quartile production costs of all-in sustaining costs at about $1 a pound and C1 costs just over $0.60 a pound. Commissioning, as I've said before, is on track for Q4 2019, and importantly, we've retained extension optionality. We've increased the reserve estimate by some 13%, I think it was, to 79 million tonnes. The copper equivalent grade of this reserve is at 2.31%. The mining inventory we're actually going to take as part of this development float is at about 84 million tonnes. And a floatation plant that we are going to -- or about to construct is almost identical in design to that of Prominent Hill except smaller with a fewer minor modifications. From a financial perspective, I think the economics are robust, and at largely, being confirmed. The NPV is over $900 million; IRR, 20%. Preproduction capital is at $916 million. Payback's at 2024, and the average annual cash flow will be about $265 million per year. As mentioned before, the CTP is now a separate project, independent of the Carrapateena time line. So an improved level of confidence in the impurity rejection and the predictability of the Carrapateena has allowed us to take the CTP out of this base case. Notwithstanding that, we are progressing the CTP studies. So this project is separately funded, and we still see it as a potential strategic opportunity for this company. But as I've mentioned before many times, it's not required for us to develop Carrapateena. We're now in the final stage of executing contracts with a few key partners that will see us lock in 50% of the preproduction capital into lump sum contracts, which I'll touch on that in a moment. Finally, as a result of our healthy position and cash forecast, we can fund Carra from cash. So just on the regional picture here for those maybe perhaps unfamiliar with the project. On this image, you can see Olympic Dam at the center. For the northwest, we have Prominent Hill. That now has a mine life out to 2028. And we see Carrapateena down in the southeast. That belt is known as the Gawler Craton. In the Carrapateena area itself, we have Khamsin, which used to be a resource when we had a block cave scope to find around Carrapateena, and we know that there is good mineralization sitting in the Khamsin resource or former resource. We will see studies progress on Khamsin going into the future. Fremantle Doctor, which is only a couple of kilometers away from Carrapateena, we also know has good mineralization. It has 16 drill holes into it to date, and obviously next year, we will start defining further drill programs to understand that resource base. At Carrapateena itself, outside the current mining inventory, we also know there are additional higher-potential or higher-grade pods mineralization in Carrapateena. As an example, we know that there is a roughly 2 million tonne high-grade pod adjacent to the top of the sublevel cave. So we've got some cost in the study to define that mineralization, but we don't yet have any benefits coming from that mineralization. We also know that, historically, Carrapateena had an 800 million tonne at 0.8% percent copper shown in the resource statement, and that was based on the former block cave resource statement. And that's since changed, and what it does tell us is that there is a very big footprint mineralization at Carrapateena. So the opportunity for us to extend in this into the future will certainly be explored. In terms of the project location, so just zooming into the Carrapateena area more specifically, it is a significant global copper resource, and it's certainly the largest undeveloped project in Australia. Carrapateena is situated on the Pernatty Pastoral Lease with infrastructure on the Pernatty and Oakden Hills Pastoral Lease. The red line that you can see is the Western Access Road, so this is a primary long-term access route that we will construct from the Stuart Highway. Construction of this Western Access Road will commence once the Mining Lease and the papers have been approved, which we expect to be completed in quarter 1 next year. The operation power supply will be via 132 kV overhead transmission line from the existing South Australian electricity network, and that's via the Mount Gunson substation. And you can see some regular well fields on there, which will be the source of the water for the project. In terms of resource and mining, the study's mine design reserve update has increased the probable ore reserve from 70 million tonnes as previously stated in the PFS to 79 million tonnes. And that has an associated increase in copper of about 100,000 tonnes. The ore inventory in the life of mine plan is now 84 million tonnes, which includes that 79 million tonnes of the reserve. The mineral resource estimate, as released in December 2016, represents a significant upgraded resource classification with 46% of the resource classification as measured compared to that previously we stated in the 2015 resource. Touching on the mine and sublevel cave design. So our caving knowledge, I think, has been significantly enhanced over the past several months while after the recruitment of a new general manager, a new tech services manager, a number of other people and the engagement of external third-party caving experts. And all of these people have helped us optimize the mine design and the mine schedule. So Carrapateena has now a dual decline design. So access to personnel and equipment will be via the Tjati decline, and a separate conveyor decline will run parallel to the Tjati decline for the first 2 kilometers. This arrangement gives us many safety and operating advantages. For those unaware, we've already begun construction on these declines and have developed over 2.5 kilometers to date. And this week, we saw the second ventilation or future ventilation decline actually break through to the box cut. So we are now full steam ahead developing both declines downwards. Sublevel cave design. Life of mine infrastructure, such as the crusher chambers, of which there are now 3, a conveyor decline, orebody decline and ventilation raises, are offset from the orebody and located outside the modeled major deformation zone. So this reduces the threat of cave-initiated damage. Level access design has been updated to improve safety by reducing a number of vehicle interactions, and productivity improved by moving all passes closer to draw points, also -- which also allows future automation by designing separate work areas. So touching on -- just touching on capability, something that was a material threat to us back in the early stages of this project that we've since got a lot of comfort around how this cave is actually going to flow and work. So we've undertaken 2 industry-standard methodologies on this project to assess the capability of the cover sequence. We've also assessed a number of additional options to support caving in Carrapateena through the design of the feasibility study level by design. So the findings from the analysis, because we want to minimize air gaps, obviously, and allow rapid ramp-up, have us focused on optimizing the sublevel cave footprint size and the hydraulic radius to more readily enhanced caving to the surface. Preconditioning through high hydraulic fracturing is also included as part of this base case. Preconditioning using water is one of the main available techniques available to support cave propagation and is very cost-effective means of enhancement and seismicity management. So the process that we are going to use and is assumed at Carrapateena is the same process that was successfully used at both Cadia East and at Northparkes. So ventilation, materials handling. Once the Mining Lease is approved in the second -- first quarter of next year, the ventilation decline will be used as a conveyor decline. So situating the conveyor decline and the second decline -- or conveyor and second decline provides a significant safety and operating advantage for us. So it allows mine traffic to move much more readily throughout the declines. It also minimizes the risk of rock fall given we can hang conveyors much closer to the floor. Carrapateena is now also going to have a third permanent crusher located 5 levels below the top of the orebody. So this removes what was in the PFS, which was a mobile surface crushing unit. And configuration of the new first permanent crusher station allows crushing and conveying of all material types, which reduces haulage costs and haulage constraint for the mine prior to commissioning of the second crusher. On the process flow sheet, as I mentioned before, it's very similar to Prominent Hill. The design of the flow sheet is almost identical. So we've got a lot of confidence in how this plant is going to behave. And for those unaware, Prominent Hill is currently operating 20% above the nameplate capacity. The overall size of the equipment and design is about half that of Prominent Hill. The main process difference is the Carrapateena includes a recycle crusher on the SAG circuit to improve efficiency because of the increased ore hardness at Carrapateena. But this is probably one of the only significant differences to that of Prominent Hill. Construction of the processing plant is scheduled for commencement in the second quarter of next year, and we estimate an 18- to 24-month ramp-up period to the 4 million tonne rate. We then are targeting 4.25 million tonnes from year 3 onwards. On tailings storage. So tailing -- the TSF will be constructed in stages, and it's going to be a cross-valley embankment style at the head of the Eliza Creek. The ultimate design storage capacity in our base case is 445 million tonnes of dry tonnes of tailings, which is about 36 years or 4.25 million tonnes per annum. And it'll have a long-term in situ bulk density of about 2 tonnes per cubic meter. A key feature of the TSF is the main embankment, which is geosynthetically lined on the upstream phase and includes a seepage collection system. It's designed, constructed and operated in accordance with the ANCOLD guidelines that considered siting, initial embankment construction, subsequent raises of rate and price, water management, erosion control, inspection and maintenance requirements and things like that. In addition to the ANCOLD design criteria, we also completed a number of stability and seepage analyses and a site-specific earthquake hazard assessment over and above the ANCOLD requirements. Just to note, emergency [ stowaways ] also include at each stage of development. On power, we have secured a Transmission Connection Agreement that guarantees a 55-megawatt power allocation for a 20-year period with ElectraNet. We're also well progressed on a build, own, operate and maintain contract for the third 132 kV non-regulated high-voltage overhead from Mount Gunson South to Carrapateena. And we're expecting this to have a 13-month construction period, which will see energization at Carrapateena in the second quarter of 2019. Power will be distributed throughout the surface areas of the site via an 11 kV distribution system, and we will have some emergency backup on the site for the order of about 7 megawatts. On the road, the design of the Western Access Road was developed in consultation with the Kokatha people. These are the traditional owners of the land. So we've got a great outcome between ourselves and the Kokatha in an optimized road location. We have also reengineered a number of parts, intersection of the road since the PFS design. We also undertook further geotechnical tests along the road, which had us have to change the source of many of the materials to actually construct. So we now -- in our base case, we're assuming sourcing road construction materials from an off-site quarry. On water. So we have sufficient construction water to build Carrapateena, which requires about 3 to 4 mega liters per day. Our current estimate for the operation of Carrapateena will require about 11.5 mega liters per day. To date, we have 9.7 mega liters per day established from our well fields. And we estimate the [ TDF ] at about 90 milligrams per liter. So we need another couple of mega liters per day to see the reliable operation of Carrapateena. One thing I need to note, though, is that this current estimate of 9.7 megs per day does not include mine dewatering, which we think will be in the order of 3 or 4 megs per day. So we are going to do further work at Carrapateena on exploration drilling, and we have already commenced reestablishing the exploration water drill hole work to the north of Carrapateena. And this work will be undertaken over the coming few months. In terms of surface infrastructure, let me touch on the airstrip and accommodation village. We have now reincluded an airstrip at Carrapateena, and this will be built as part of the early work scope of work. So we will maintain a bus service to and from Port Augusta in parallel to that airstrip, but the intent here is to minimize the number of people on the roads and reduce risk to people and also include increased productivity of the workforce. The village design has now been finalized, and we've sourced a camp, which we are currently securing to relocate to Carrapateena. The campsite is about 550, so we'll be able to have up to 550 people in the permanent camp, and eventually, we will see the decommissioning of our existing exploration camp on-site. So after all that detail, I'm going to hand over to Luke to take you through some of the financial analysis.
Luke Anderson: Thanks, Andrew. As highlighted by Andrew with an NPV of $910 million, an IRR of around 20%, this does provide a compelling case for the development of our second operating asset at Carrapateena. I'd just like to run you through the various financial parameters of the project. Firstly, the preproduction CapEx is estimated at $916 million, which includes $66 million of contingency. The ECI approach we adopted has provided greater certainty on our capital costs with around 50% of the preproduction capital in lump sum contracts nearing finalization. Since the PFS update last year, detailed mining studies, scope definition refinement result in a well-defined capital and operating cost estimates. Preproduction CapEx includes the costs of the plan, the airstrip, camp, site infrastructure, development of the declines for the top of the ore body, the first crusher and the conveyor system up to the first crusher. Owner's costs of $117 million include costs for the management and execution of the project, including operational readiness planning. The chart on this slide provides the expected quarterly profile of preproduction capital with around $50 million expected to be spent in 2017, $520 million in 2018 and $346 million during 2019. The current cash balance of $625 million as of 30th June and forecast cash flows from Prominent Hill are expected to be sufficient to fund the development of the Carrapateena project without incurring any debt and still have the ability to pay dividends. Now moving to operating costs. Carrapateena has one of the world's lowest life of mine all-in sustaining costs of around USD 0.99 per pound. Being a lowest quartile cost producer will assist to ensuring operation can withstand cyclical downturns in commodity prices. Operating costs of $50 per tonne and sustaining CapEx of $10 per tonne are incomparable with other Australian sublevel copper mining operations, while significant gold and silver byproduct credits reduced all-in -- overall all-in sustaining costs. As noted earlier, OpEx and sustaining CapEx classifications have been better defined through the PFS phase, resulting in some increases and reclassification of costs since the PFS. Operating costs include mining costs of $23 a tonne, processing costs of $17 a tonne, logistics costs of $7 a tonne and G&A of $3 per tonne. Generally, sustaining CapEx include costs which provide benefits over more than 1 year, which include capital equipment, TSF lifts, decline development and other mine infrastructure. Moving to the mine cash flows. Post-commissioning in September 2019, the mine ramps up to full production over 18 months, generating net revenue over life of mine of $12.2 billion. With consistent cash flows from 2021, the preproduction capital is paid back by 2024 while continuing to generate strong cash flows thereafter, averaging around $400 million before tax. During ramp-up and the first 5 years of production, sustaining CapEx is elevated, while the mining infrastructure is developed to achieve and sustain full production. The payment of USD 50 million to the vendors of Carrapateena, Teck and Rudy Gomez in relation to the deferred consideration for the project is expected to be made in 2020. The next slide provides the net present value waterfall chart with the changes in NPV since the PFS update last year. So the NPV of $910 million is an increase of $140 million compared to the PFS. And just to highlight a few of the major changes, I'd note, which are post-tax discounted dollars. So improvements in broker consensus. Commodity price assumptions for both copper and gold have resulted an increase in NPV of $100 million. The change in discounting base date from November 6, 2016, to June 2017 has increased the NPV of the project by $75 million and as we get closer to mine producing cash flows. Preproduction CapEx increased from $830 million to $916 million following better definition of the scope and pricing of the number of the packages. Operating costs increased as a result of a 12% increase in life of mine ore inventory and improved estimation of operating costs. With the CTP progressing on a -- as a stand-alone project with different time lines, the CTP is no longer included within the Carrapateena project. The CTP costs have been replaced with higher realization costs, resulting in a net improvement in NPV by $150 million. So moving to sales and marketing. Carrapateena does produce one of the world's highest-grade copper concentrates at 30% to 40% with gold and silver byproducts credits. Over time, the market is seeing a general trend of declining copper grades with increasing impurities in global concentrates. So the Carrapateena concentrate is expected to be an attractive feed to smelters and blending operations. Carrapateena that concentrate will have a slightly lower grade of Prominent Hill but will contain lower impurities and is expected to attract market terms no penalties expected in the first 8 years of production. And moderate penalties thereafter. Further metallurgical testing since the PFS  has provided us greater confidence in the downgrade of uranium through the Carrapateena processing plant to the point where we believe Carrapateena concentrate is saleable without processing through CTP, and thus CTP has been removed from the Carrapateena project but remains part of our long-term strategy to producing the highest quality concentrate for our customers. Leveraging our existing long-term customer relationships and a declining profile at Prominent Hill over the next 2 years does provide the opportunity to sell Carrapateena concentrate to existing Prominent Hill customers. OZ Minerals will continue to maintain a multipronged marketing approach to sell its concentrate, which includes mine site ore and concentrate blending, custom shipment production and a diversified customer base with sales direct to smelters and blending facilities. Over the next 12 months, our strategy will be to commit the majority of the Carrapateena production under a long-term contract to a diversified range of customers along established trade routes and destinations and will include Asia, Europe and Australia. So before I hand it back to Andrew, this will be my last conference call, Today. I particularly want to thank Andrew and the Oz team for the opportunity they've given me over the last 2 years. It's been a fantastic 2 years and I think Andrew and the Oz team have a great future and a very bright future. So while I will see a lot of you over the next couple of days, I just want to thank you for your support for my time here. Thanks, Andrew.
Andrew Cole: Thanks so much, Luke. Let me just wrap up here with a few comments, and firstly on risks or threats on opportunity in the risk portfolio. Risks -- we look at risks as both threats and opportunities so let me talk about the first risk to this project and that is a decline advance rate. The project is very sensitive to ramp up and start of first production so the quicker we develop these declines, the more value we create. The slower we develop these declines, the less value we create, So we have very dedicated programs at the Carrapateena site working to control and manage the decline advance rate and continually look for opportunities to expedite the development rate itself. In terms of the ore reserve itself, the ore reserve was defined at the cut-off grade of $100 per tonne although the break-even cut-off for the sub-level cave is about $51 per tonne. So mineralization of the grade above break-even surrounds the sub-level cave zone and it may be able to be mined at some point in the future. So any reduction in the cut-off grade has potential to increase the mining inventory with minimal additional capital and expenditure. With regard operational water. Increases in operational demand identified from the PFS to the FS do result in small deficit in terms of operations to date, hence, the need to continue exploration drilling into the north. Approvals and timing, we are working very closely with the state and the federal governments on the pre-agreed time line for our approvals and these have been going exceptionally well and we do not anticipate any alterations for the current schedule. If I talk about the project schedule for a moment, as I mentioned earlier we've broken this into 2 parts, Phase 1 and a Phase 2. Phase 1 is the early works, which we are undertaking on our current retention lease. And that will include the construction of the airstrip and the village and the continuation of the construction of the Tjati decline and the ventilation decline. It will also see us procure long lead items for the entirety of the operation and finalize all design and engineering work, as well as near-mine water exploration drilling. Phase 2 is when we kick-start on -- construction work following the granting of the mining lease and that will consist of a western access road, communications networks, TSF processing plant, underground materials handling, and we will see the first development ore produced in quarter 1, 2019, assuming we hold our schedule. So let me just wrap up on our summary page. As I've said at the outset, the Board has approved the development of Carrapateena because of their confidence in the economics, the constructability and the operability of this project. But I'd say equally, what they've also focused on, is that this project as we've scoped it today, is the stepping stone for us to extend Carrapateena into the future and potentially exploit future resources and future mineralization in that area. So our work, after the development of Carrapateena, is going to turn to define -- continually define resources in and around the current Carrapateena mining inventory. As we've said today, the project has a strong NPV. It's over $900 million and an IRR of 20%. There's a preproduction capital commitment of $916 million, which the board has approved. We will see payback in 2024, 5 years after first commercial production commences. It will be a very resilient operation with all-in sustaining cost at just under $1 putting it in the bottom quartile of global cost producers. We saw the ore reserve estimate increase by 13%, and we will be producing a concentrate, which will be sought after across our international markets. And in fact, we can sell the concentrate that Carrapateena will produce into the current contracts we have with customers at Prominent Hill. Our ECI and partnership approach has been very successful. So it's going to see us start the early works construction ahead of the schedule that we published in the PFS. And I need to recognize the work that has been done by the very many people inside OZ Minerals and with our partners, who are many, getting this project to the point we are today. So I'd like to thank the OZ Minerals team who have helped Carrapateena get to this point. I'd certainly like to thank Luke for his support and wish him all the best in his next role, and I'd like to thank Bob and his leadership. I'd like to thank the Kokatha people, the traditional owners, and the pastoral station owners. And the few key partners that we've been working with over the past number of months to get contracts in place for these scopes of work. And they include [indiscernible] who we were working with for much of the infrastructure on the surface, and includes NRW who have done a lot of work in helping finalize scopes for surface civil work and it includes KBR who have helped us develop tight project controls. So with that, Luke, I'd like to conclude and open it up to questions.
Operator: [Operator Instructions] Your first question comes from Dylan Kelly from CLSA.
Dylan Kelly: I realize there's a lot of detail here, and I'm yet to get through it all, but can you just explain what are the key changes here in relation to the difference between the decline in C1 costs, which appear to be down 20% -- or over 20%, whilst the all-in sustaining cost is up 8%? Is this all to do with the change of the mine infrastructure being out -- being brought out from the ore body? My second question has to do with the current time line. I notice that it has been -- the time line also deliveries being pushed out a little bit. Can you just break down what's occurred in there and to how -and to what degree that relates to the change in the mine plan relative to the previous case?
Andrew Cole: Look, I'll answer both those questions at a fairly high level. In essence, the first piece is really about definition. We have pushed more of what we were calling operating costs into development costs and we've classified as capital. So if you go into the main document, you will see a set of definitions that describe what we are calling capital costs versus what we're calling operating costs. And I think from memory -- anything that's sort of less than a year, gets classified -- or lasts less than a year is classified as operating, and anything beyond that is classified as capital. And that definition has changed a fair bit since we did the PFS. So that's the primary driver behind the divergence, if you like, between C1 and all-in sustaining. On the schedule, if I understood your question correctly, I think in the PFS we said commissioning is sometime in the second half 2019. It wasn't locked down for days specifically but in the current schedule, we're seeing commissioning come in quarter 4, 2019. So we've been more focused because we've got more precise schedules, obviously. I think from memory under the PFS, I think it's about 3 months different to the PFS so we're seeing a three-month change being pushed out. So I think it was in the middle of 2019 we were expecting commissioning. It's now quarter 3, so that does change what's in preproduction capital slightly versus what goes into postproduction capital.
Operator: Your next question comes from Michael Slifirski from CrÃ©dit Suisse.
Michael Slifirski: I've got 3 or 4. First I'll start with the concentrate treatment plant removal. I guess, I'm just slightly confused in that I wanted to understand the evolution from something that was critical path, to not required for 5 years, to now, not required at all. And I wanted to understand how much work has actually been undertaken on Carrapateena ore versus a proxy Prominent Hill ore. And this approach and learnings -- leanings you've made along the way, can any of those be applied to Prominent Hill, or are there learnings from Prominent Hill that effectively apply to Carrapateena. I just want to understand the hold prices and the risk around it, please.
Andrew Cole: Sure. But look there's been a lot of work done at Carrapateena over the past several months. We've done a lot more net work to start with so we've really got a better understanding of how this running mine material works and how it floats, and how it downgrades through that process. We've also optimized our process plants and we've got a better understanding now of what those downgrade factors are. I guess, the other thing that we've learned probably at Carrapateena is that grade and uranium for example actually correlate quite well, so as we've expanded our sub-level cave footprint and taking more lower-grade copper ore, you actually see uranium come down quite a bit. So that's some of the bigger changes and we've also done -- had a lot of conversations with customers about the concentrate we're going to produce, the specs of that concentrate. The acceptance and the comments we've seen in the marketplace, is very good. So we're very confident in what we see coming out of Carrapateena. CTP, we're not giving a big update at the moment because there's been a lot of technical work being done on CTP and we still see a Concentrate Treatment Plant as a strategic differentiator for us. So I've always said all the way through this that CTP is not critical to Carrapateena. So that message has not changed and it's still not changing today. We see CTP as more of a strategic opportunity for us to completely differentiate the concentrates that are produced in South Australia. And we're going to keep progressing that work, so I suspect we'll come back to the market with an update on CTP and the flow sheets and the economics, et cetera, in the first half of next year as we work to optimize the flow sheets over the next 6 months.
Michael Slifirski: Has there been sufficient work actually on Prominent Hill? There's not a lot of it available, so you're confident that you've had enough core, for example, to test to be very comfortable that you'll get the performance you're projecting?
Andrew Cole: Yes. In short, Michael. So the work that's being done at Carrapateena is pretty extensive and the data base we've got shows very good repeatability in the net test results that shows a consistent end grade of uranium through the flotation circuits. We've got some -- there are some opportunities in here to actually change it further. I think -- not [indiscernible but I mean I understand it's very difficult to model Jameson cells on a desktop at a pilot scale so we're not really using -- were not including the benefits that you might get from a Jameson cell lease in that downgrade, and there are other things you can do in the ore body as well to further reduce uranium by just by taking lower grade copper with a larger sub-level footprint. So there's upside to this but in short, the net results we've seen show a very consistent, reliable and predictable downgrade. And that work was further confirmed through the last few months when we did net test work.
Michael Slifirski: Okay. You talked about higher realization cost. Is that simply reflecting a lower low-grade concentrate than what was perceived -- or expected when you had to CTP and was there something else that drives the higher realization cost?
Luke Anderson: Michael, this is Luke. That's just the -- we have added in that period after the previous 8 years, so we're assuming no penalties in the first 8 years and then moderate penalties thereafter. So they have a higher realization cost. We still expect to receive, call it, benchmark TCRCs on the product.
Michael Slifirski: With respect to the mine itself, the conveyor on the decline, what's the capacity of that, that you'll be installing? And you started with 1 crusher, then you had 2 and then you had 3, so basically you will be crushing by year 5, if I'm looking at the chart correctly. What's the sort of crushing capacity, mining capacity, if the mill was capable, what could the mine produce post all that crushing capacity being in there and the conveyor being pushed as hard as it could be.
Bob Fulker: Michael, the crusher itself and the conveyors are actually designed to have lower availabilities in the plant. [indiscernible] capability of underground of the conveyor system is around about 800 tonnes per hour. Obviously, with the conveyor in a good economy we are expecting a higher downtime for maintenance and the like. The crusher itself is a -- I can't remember exactly how many times per hour the crusher is, but the first crusher is roundabout 650 to 700 tonnes an hour.
Michael Slifirski: Are all the crushers identical?
Bob Fulker: No. The top one being installed today,  [indiscernible] I think it's double or 1.5 dual crusher going on to the conveyor. The 2 second ones -- or the second and third ones are both dry rotaries..
Michael Slifirski: The mining cost, the dollar millions are up materially more than the sort of activity levels. Is there actually a higher mining cost and has something changed in your estimate or is it simply locating the infrastructure well away from the ore body that's increasing the units rather than the unit cost.
Andrew Cole: Let me answer this in principle and then I'm going ask Luke to sort of follow up.  So what's changed, Michael -- I think there's a good diagram in the executive summary that shows the infrastructure in 3 dimensions. If you recall from the PFS we were coming in -- most of the infrastructure is on the Northeast side in the mineralized break shear zone. And that was done for a number of reasons but it never 100% met our intent of allowing future expansion options for Carrapateena. So what's happened through this last period it's now put effectively all infrastructure into the host granite, and that gives us a lot more flexibility going forward. And it also think we've got a much tighter set of calculations and design models now. Who wants to answer this in additional detail. Luke?
Luke Anderson: I think, Mike, rather than reclassifications we talked about, I think the mining costs are higher absolutely from best estimates based on the work we've done.
Bob Fulker: Michael, from a PFS, what we did was a pretty broad definition of capital and operating, and it was basically off the decline, anything off the decline, 50 meters or so, is then classified as OpEx. We've got a better definition -- a more traditional definition of that OpEx and CapEx split now. And if you look in the presentation, there's actually a diagram where it shows operating and capital and in a sort of shows where we're reclassifying. The other thing we've done is we've obviously got a lot better definition from the mining modeling in the work that's been done since the PFS has actually given us a lot more confidence in the data. It has actually put the mining cost up a little bit. So all that seems to give a combined operating near right number or the number that is indicative of where we should be.
Operator: Your next question comes from David Coates of Bell Potter Securities.
David Coates: Just quickly on the CTP previously it was sort of discussed as being NPV neutral but its removal seems to have added $150 million to your NPV. Can you just give us an outline of how that's kind of -- how those previous off-sets of TCRC costs and all that kind of stuff has sort of changed. And also with that in mind, you had previously promoted this pretty heavily as de-risking and sort of operate -- providing optionality to Carrapateena and other projects you might advance. It sounds like you've done a bit of work in the de-risking but how does -- how should we sort of think about that in the context of its removal from the project.
Andrew Cole: If I put it down, so firstly, the biggest change -- or the biggest clarity, most clarity we've got over the last several months here is more about the resource and what we're going to produce as a result of the new mining inventory that were going to actually extract and how that's going to perform through the processing plant. So that's what's mostly changed here. As we've got more met-data and we've understood better how the concentrate's going to perform. As we've done more flotation tests we understand how the downgrade is going to perform. And as we've changed and increased our mining inventory to take more lower grade copper material, that's what's actually changed most significantly if you like. So it's more about uranium and the penalty ratio with that, and the appetite in the international market for good high-grade copper content than it is about CTP itself. So that's what's controlled or made the change in the decision here. But secondly, CTP and the development of that technology is a very different type of work. This needs to be 100% right, not built quickly with off-the-shelf componentry. So we flagged a number of months ago that CTP carried on a different time line than it needs to be for that purpose. So I don't think it's going to change anything, to be frank. So CTP studies are going to continue. And the technical team it seems -- its work is going to continue. And they've got a whole raft of tests and optimization work to do over the next several months. And we expect early next year to be able to come back to the market and give you an update on what the scope of the options for that program looks like. But I think Carrapateena and the concentrate it's going to produce is already being well received by customers from the specs they've seen, and no doubt will be well received and is being driven by the copper content.
David Coates: Okay. And am I correct in my interpretation that what could previously have been NPV neutrality now being NPV accretive since the CTP removal?
Andrew Cole: Yes, you are.
Operator: Your next question comes from Sophie Spartalis from Merrill Lynch.
Sophie Spartalis: A lot of my questions have already been asked but I just wanted to delve a little bit deeper into the crushers. Previously there was the intention that these crushers were going to basically be relatively mobile and move every, I think it was 7 years or so. Is that still the intention given that third crusher seems to be permanent on that side at the level on top of the ore body now? Can you just walk through the change in the thinking on the crushing and how, if you are moving them, how often do you have to move them and at what cost?
Luke Anderson: Yes, Sophie. Look I'll spell out how we're practically going to do this and then Bob can talk to you about the types of crushers, et cetera. So in the PFS, you may recall that we had one mobile crusher at the surface to start with and that was actually captured on the operating cost, not capital. And that would last for the first few years and we would truck material up that temporary crusher on the surface whilst we got the second permanent crusher underground in place. And so in the PFS there was only 2 permanent underground crushers. And what's changed since then to now is that it actually makes more sense from a technical perspective and a financial perspective to have 3 permanent underground crusher, and get rid of the temporary surface crusher's. So what you currently see in our preproduction capital is the development down to the first crushing chamber so that we can actually get that first crusher installed, and that's what services the top of -- the first development for Carrapateena. So we've stripped out the mobile crusher that used to be in the PFS. That's gone. And we now have 3 underground permanent crushers. And Bob I think the top 1 is different because it's going to be crushing ore end waste drop to start with.
Bob Fulker: Yes, and it's also -- it's a lot higher so it's going to be a lot less. The top crusher will be out of -- the top crusher will be out of service potentially for other ore bodies in the future if and when we find them. But theoretically it's going to last the first couple of years but the crusher underground gives us the ability to ramp quicker as opposed to having to use trucks up to the surface. It allows us to get to that rate very easily. And the first crusher is around about 540 then we go down to 600-ish then we go to 900 and the third crusher is really the bottom half of the ore body so we get it out very quickly in life of the mine. And that's why that's in the first half of the life. If you have a look at the sustaining capital graph you'll see that in about 2027, I think it is, there's a bump and that really is the crusher. The reason for that bump related to the inclusive of a lot of -- to get down to that extra depth so that we can actually do that and use that for the remainder of the life. So it's really around increasing your production quicker from the top of the cave and getting away from having to truck to the surface and the temporary crusher and getting that conveyor system working earlier in the life to get the revenues earlier.
Andrew Cole: So can I just add to that, Sophie. So what has enabled this is the development of the second decline. So in the first -- in the PFS you'll recall, there is one access decline so by building the second decline parallel to the main access decline, we can actually get materials handling systems in sooner. So that's what actually enabled us to move the first temporary crusher underground.
Sophie Spartalis: Okay. And then just remind me how deep will be the ultimate cave. So you said the third crusher will service the bottom half getting you guys to, what, 1,600 meters. Is that the effective function?
Andrew Cole: Yes. the bottom of the mine as it currently stands is at 1.5 kilometers.
Operator: Thank you. There are no further questions at this time. I'll now hand back for closing remarks.
Andrew Cole: Okay. Well, thanks very much, operator. Thanks very much to everybody who joined the call. As you digest this material and read through the documents over the coming days and weeks, if you've got questions, please let us know, and we'll get the right people available to give you a call. Thanks very much, everybody.